Operator: Good morning. My name is Rob, and I will be your conference operator today. At this time, I would like to welcome everyone to the Choice Properties Real Estate Investment Trust Second Quarter 2025 Earnings Call. [Operator Instructions] Thank you. I will now hand the call over to Simone Cole, General Counsel and Secretary. Please go ahead.
Simone Elizabeth-Jasmine Cole: Thank you. Good morning, and welcome to the Choice Properties Q2 2025 Conference Call. I'm joined this morning by Rael Diamond, President and Chief Executive Officer; Niall Collins, Chief Operating Officer; and Erin Johnston, Chief Financial Officer. Rael will start the call today by providing a brief recap of our second quarter performance and provide an update on our transaction activity. Niall will discuss our operating results and our development pipeline, and Erin will conclude the call with a review of our financial results before we open the line for Q&A. Before we begin today's call, I would like to remind you that by discussing our financial and operating performance and in responding to your questions, we may make forward-looking statements, including statements regarding Choice Properties' objectives, strategies to achieve those objectives as well as statements with respect to management's beliefs, plans, estimates, intentions, outlook and similar statements concerning anticipated future events, results, circumstances, performance or expectations that are not historical facts. These statements are based on our current estimates and assumptions and are subject to risks and uncertainties that could cause actual results to differ materially from the conclusions in these forward-looking statements. Additional information on the material risks that could impact our financial results and estimates and the assumptions that were made in applying in making these statements can be found in the recently filed Q2 2025 financial statements and management discussion and analysis, which are available on our website and on SEDAR+. And with that, I turn the call over to Rael.
Rael Lee Diamond: Thank you, Simone, and good morning, everyone. Welcome to our Q2 conference call. We are pleased to report another solid quarter, underpinned by robust demand for our grocery-anchored retail and well-located industrial assets. We maintain near full occupancy of 97.8% driven by the resilience of our necessity-based portfolio that continues to produce steady cash flow growth. This quarter, we delivered 3.9% growth in FFO per unit and achieved exceptional leasing spreads of 24%, underscoring the quality of our assets and our team's ability to drive growth. While the macroeconomic environment has somewhat stabilized since our last update, uncertainty continues to persist. Nonetheless, our ability to deliver steady earnings growth is a testament to the resilience of both our portfolio and our team. Operationally, our portfolio remains sound, evidenced by the strong leasing spreads and healthy Same-Asset NOI growth. In our retail portfolio, demand remains strong for our well-located necessity-based properties. This quarter, we achieved strong renewal spreads and completed strategic asset management initiatives, which resulted in securing higher paying and stronger covenant tenants at certain assets. The portfolio continues to deliver stable, predictable growth and this quarter was no exception. Our industrial portfolio is performing well with occupancy increasing 30 basis points to 98%, and we delivered strong leasing spreads. While new supply has recently come to market, development activity is now slowing across major markets. With successful recent leasing at our properties and expectations of lower supply, both our existing income-producing portfolio and development pipeline remain well positioned for continued growth. From a development perspective, we remain in a strong position. We have 360 acres of land at a low cost base at Choice Caledon Business Park, a strong balance sheet and a proven team ready to execute. We are well positioned to move forward when others simply cannot. In our Mixed-Use & Residential, we have observed some softening in residential markets as new supply comes online. Despite this, our assets have maintained solid occupancy and stable rental rates, consistently outperforming their respective submarkets. We continue to be confident in the quality of our residential product and remain bullish on the long-term fundamentals of residential real estate across major urban markets in Canada. With that, our development team continues to make progress on zoning for our rental residential projects. We're exceptionally pleased to receive city approval this quarter for the next phase of our Forest Pathway project in North York. Turning to our transaction activity in the quarter. In Q2, we continued to advance our capital recycling program, completing approximately $427 million in total real estate transactions. This includes $351 million of industrial and Mixed-Use acquisitions and $76 million of noncore asset dispositions, further enhancing the quality of our portfolio. As we discussed on our last conference call, we completed the acquisition of approximately $345 million of industrial assets. This included a 1.1 million square foot industrial distribution asset that we acquired from Loblaw for approximately $183 million, which was concurrently leased back to them for 10 years with 2% annual rent increases. This transaction highlights the benefit of our strategic relationship with Loblaw. We also purchased a portfolio of 8 industrial outdoor storage sites for approximately $162 million, totaling approximately 140 acres of land across core Canadian industrial markets, which we believe is a perfect complement to our existing industrial portfolio strategy. Finally, in the quarter, we also acquired a 50% interest in 555 Yonge Street in Downtown Toronto for $6 million. This 3,400 square foot retail property is adjacent to our JV at 543 Yonge Street and positions us to unlock future density potential in a stronger market environment. On the disposition front, we capitalized on strong market conditions to achieve attractive pricing on the disposition of a noncore small bay industrial portfolio in Calgary for $73 million, which was well above our IFRS value. The portfolio totaling approximately 497,000 square feet across 9 sites in the Foothill submarket of Calgary was management intensive and not aligned with our broader industrial strategy. With the strength of our portfolio and fortress balance sheet, we're well positioned in any economic environment and continue to take advantage of opportunities as they arise. Looking ahead to the second half of the year, we remain firmly on track to achieve our outlook, which Erin will speak to later. With that, I'll pass the call over to Niall to discuss our operational results in more detail. Niall?
Niall Collins: Thank you, Rael, and good morning, everyone. As Rael mentioned, our portfolio delivered solid operational results in the second quarter, and we continue to see strong demand and leasing spreads across our property types. Portfolio occupancy remained strong, ending the quarter at 97.8%. This is a 10 basis point increase compared to the prior quarter. During the quarter, we had approximately 838,000 square feet of lease expiry. We renewed 582,000 square feet, achieving approximately 70% tenant retention. Our tenant retention was largely impacted by strategic lease terminations, which I will speak about in a moment. Overall spread portfolio renewals were completed at a very healthy average rental rate spread of 24%. We also completed 321,000 square feet of new leasing, providing a positive absorption of 65,000 square feet, which was largely driven by our Ontario and Alberta industrial portfolios. Turning to each of our asset classes. In our necessity-based retail portfolio, occupancy was unchanged at 97.8%. During the quarter, 337,000 square feet of leases expired. We renewed 251,000 square feet for a 75% tenant retention rate. Our retail retention rate was impacted by 2 strategic lease terminations in Ontario and Alberta, totaling approximately 50,000 square feet of noncore tenants. These terminations enabled us to re-lease the space to more portfolio-focused long-term tenants at higher rents, including Staples, Shoppers Drug Mart and no frills. Excluding the strategic de-leasing, our retention rate in the quarter would have been 89%. Lease renewal spreads averaged 13.2% above expiring rents with broad-based strength all regions and categories. We also completed 78,000 square feet of new retail leasing in the quarter, where average rents over the lease term are 58% higher than our average in-place rents. This largely offsets the 86,000 square feet of expiries that did not renew in the quarter. Currently, 68% of the vacancies will be backfilled this year with rents meaningfully higher than our average in-place rents. Our team is also confident in the leasing activity on the remaining space. Turning our attention to 2026 for a moment. We have 41 Loblaw locations up for renewal, all of which are retail locations totaling 2.6 million square feet. We are pleased to announce that we renewed 39 of these locations totaling 2.5 million square feet at a 5-year weighted average term. The base rents for these renewals increased on an average by 8.6% over expiring rent. The 2 leases that were not renewed represent smaller locations and were expected with one store already dark, but the other slated to close. Overall, these Loblaw renewals represent 58% of our 2026 retail expiries and will continue to provide steady cash flow growth for the REIT. Turning to our industrial portfolio. Occupancy increased by 30 basis points from the last quarter to 98%. This quarter, we had 501,000 square feet of expiries primarily in Alberta -- on our Alberta portfolio and renewed 331,000 square feet for a 66% retention rate. The retention rate in the quarter was largely the result of one property, whereby a tenant vacated the space but was immediately re-leased to an adjacent tenant at higher rents, ensuring no downtime and an increase in cash flow for the property. Excluding this, the retention rate in our industrial portfolio would have been 91%. Lease rate renewals were exceptionally strong, averaging 38.9% above expiry, primarily due to strong leasing in the Ontario portfolio, where we had 82,000 square feet of expiries renew at an average rent spread of 78%. We also completed 237,000 square feet of new leasing in the quarter. Looking ahead, we still expect industrial portfolio occupancy to improve over the balance of the year and ended the year to be above 98% due to strong tenant retention and vacant space being released. Lastly, our Mixed-Use & Residential portfolio continues to perform well with occupancy at 95.4%, which is up 50 basis points from the last quarter and increased 130 basis points year-over-year. Turning to our developments. Our team continues to deliver on our development pipeline. During the quarter, we completed 4 retail intensifications totaling 30,900 square feet at a blended yield of 7.6%. Included in these intensifications was a Shoppers Drug Mart at Elmsdale, Nova Scotia, totaling 17,000 square feet at a yield of 7%. We have an additional 8 Shoppers Drug Mart intensifications in our active development pipeline and 3 in plan. A CRU in Edmonton totaling 7,000 square feet at a 50% share, delivering at a yield of 7.3%. And finally, 2 ground lease properties in Manitoba and Alberta, totaling 6,900 square feet at a yield of 11.9% and 8.7%, respectively. These leases are with tenants in the automotive services and QSR sectors that are looking to expand their retail locations. The ground lease intensifications completed this year have been a great example of our team extracting value and incremental cash flow from our retail sites. Looking ahead to the second half of the year, our major active development continues to be in our industrial pipeline at Caledon Business Park. Construction of the first phase of Building H, representing 530,000 square feet at share remains on schedule with NLS expected to take possession in September. The tenant lease also includes an expansion option to 830,000 square feet that will expire in the first half of 2027. Overall, our active development pipeline totals 18 projects of approximately 1.1 million square feet at an average forecasted yield of 6.7%. Our development pipeline continues to be a reliable source of long-term cash flow and NAV growth for our portfolio. I will now pass the call over to Erin to discuss our financial performance.
Erin Johnston: Thank you, Niall, and good morning, everyone. Once again, we are pleased with our financial performance for the second quarter. Our portfolio remains operationally strong, which continues to translate into consistent Same-Asset NOI and FFO growth in line with our expectations. Our reported funds from operations for the second quarter was $191.6 million or $0.265 on a per unit diluted basis, reflecting an increase of 3.9% compared to the second quarter of 2024. We had minimal nonrecurring items in the quarter. As a reminder, we had approximately $400,000 of net nonrecurring items in Q2 2024, including $3.3 million of nonrecurring G&A expenses related to outsourcing, partially offset by $2.9 million of lease surrender revenue and bad debt provision reversals. Normalizing for these nonrecurring items, FFO per unit growth was approximately 3.5%. This increase was primarily due to higher Same-Asset cash NOI and net contributions from development transfers and net acquisition activity over the last year, partially offset by higher net interest expense. Turning to our properties. Same-Asset cash NOI increased by $3.4 million or 1.4% compared to the second quarter of 2024, driven by higher rental rates and strong leasing activity. Excluding bad debt expense, primarily due to a prior year reversal in the industrial portfolio, total Same-Asset cash NOI growth would have been approximately 2%. By asset class, retail Same-Asset cash NOI increased by $3.2 million or 1.7%. The increase was driven primarily by lower interest on capital recoveries and higher base rents from renewals, new leasing and contractual rent steps. Industrial Same-Asset cash NOI increased by approximately $87,000 or 0.2%. Industrial year-over-year growth was impacted by $1.7 million bad debt provision reversal in the prior year. Excluding bad debt expense, Same-Asset cash NOI would have been 4.2%, driven by higher base rents from renewals, new leasing activity and rent steps. Mixed-Use & Residential Same-Asset cash NOI increased by approximately $167,000 or 1.6%. This increase was primarily due to higher revenues and lower expenses at certain of our residential properties. Our IFRS NAV for the quarter was $14.38 per unit, an increase of $148 million or 1.5% over the last quarter. Our NAV growth was driven by a net contribution from operations of $48 million, a net fair value gain on our investment properties of $91 million and a fair value gain on our investment in the units of Allied Properties of $9 million. As a reminder, we are required under IFRS to mark-to-market this investment to its trading price at each period end. Our fair value gain on investment properties in the quarter was primarily driven by our retail segment and included a fair value gain related to the 2026 Loblaw lease renewals, Niall mentioned, and modest cap rate compression in our Ontario retail portfolio, reflecting the continued demand for our grocery-anchored neighborhood centers. We continue to take a prudent approach to capital management and benefit from the stability provided by our industry-leading balance sheet. This was further supported by DBRS' recent report placing our BBB high credit rating on positive trend. Once again, we ended the quarter in a solid financial position with strong debt metrics and ample liquidity, including approximately $1.3 billion of available credit on our corporate facility and $13.5 billion of unencumbered properties. Our debt-to-EBITDA ratio was 7.2x, which was 0.2x higher from last quarter. This increase was primarily due to our net acquisition activity in the quarter. Normalizing for a full year of income from our second quarter acquisitions, our debt-to-EBITDA ratio would have remained in line with the prior quarter at 7x. We had no major financing activities in the quarter. And looking ahead to the second half of the year, we have our $200 million Series F unsecured debenture maturity in November and approximately $167 million of mortgages and construction loans maturing that we are well prepared to handle. Overall, we are very pleased having another solid quarter and a strong first half of 2025. Looking ahead to the second half of '25, we continue to have conviction in our ability to deliver on our operational and financial goals, supported by the strength of our balance sheet and our business and are confident in our ability to deliver on our 2025 outlook. With that, Rael, Niall and I would be glad to answer your questions.
Operator: [Operator Instructions] And your first question comes from the line of Lorne Kalmar from Desjardins Capital Markets.
Lorne Kalmar: Congrats on another solid result here. First up, on the retail leasing spreads continue to be very solid. I was just wondering, given all the volatility and backs and forth, have you seen any changes in the leasing environment over the past few months?
Niall Collins: No. As I mentioned, Lorne, it's been very steady across all of the categories, across all of our geography. We haven't seen any blips or anything to be of a concern.
Lorne Kalmar: Okay. So fair to assume that you guys can continue to sort of deliver this level of -- granted there will be some ups and downs quarter- to-quarter, but this level of leasing spreads for the foreseeable future?
Niall Collins: Well, as we kind of go into the second half of this year, we're very focused on increasing our occupancy, as I talked about. And we may not perform at the same level of spreads. It may come down a little bit, but we're really focused on occupancy.
Lorne Kalmar: And can you maybe elaborate on why you would -- what was behind the decision to focus on occupancy over rent spreads?
Niall Collins: Well, we did some strategic deleasing, which helped us get some boost in rents. And as we focus for the rest of the year, a lot of it is already committed to. So there's very little speculative leasing.
Erin Johnston: Lorne, just to give a little bit more color on the back end of the year. Some of that strategic leasing that Niall speaking of is actually the team leasing up chronically vacant space, which is improving our occupancy. And when he says that spreads may not be as strong, it's not a trend we see in the market. It would just be specific to a one-off deal that's renewing.
Lorne Kalmar: Okay. That's fair. Okay. And then maybe another one. Just on the 2 Loblaw leases that weren't renewed in that tranche of 41, could you maybe give us a little color on why and what the plans for the space are?
Niall Collins: One of them is already dark. And the other -- we know it's going to -- it's a store that's going to close, and we're focused on plans right now about how we're going to backfill that.
Rael Lee Diamond: And these are both tiny assets. And the one that was closed, we decided to hold on to the asset to collect the cash flow, so it wasn't discounted and then we'll sell it likely vacant. And the other one, as well, we're going to think about how to proceed. But again, these are tiny, tiny assets and not surprising to us.
Lorne Kalmar: Okay. So not really overly material.
Operator: [Operator Instructions] Your next question comes from the line of Linda Wang from TD Securities.
Linda Wang: I am in for Sami Damiani. First question is with regards to developments -- sorry, next developments. I was wondering if you can provide some details on timing, what is required to activate and expected yields?
Niall Collins: Laurent (sic) [ Linda ] as I mentioned, on our industrial portfolio, we're very focused on expanding our building cage with NLS, and we're working with them proactively. But we're also continuing to service that site and prepare it for new opportunities, which we've been responding to a lot of RFPs recently. So on the industrial side, it's quite active. Retail, as I mentioned, we have 18 projects that are in development over the next 2, 2.5 years. And then residentially, we have a number of zone projects that we're advancing the design and very focused on how we're going to bring them forward in a timely way to take advantage of where the market is. In terms of yields, they're generally going to correspond to the types of yields we've had to date.
Linda Wang: Okay. And then my other question is, I was wondering if you can share your initial thoughts on leading -- sorry, leasing and [ SANOI ] for 2026.
Erin Johnston: Linda, that's guidance that we will provide on our Q4 conference call.
Operator: And that concludes our question-and-answer session. I will now turn the call back over to Rael Diamond, CEO, for closing remarks.
Rael Lee Diamond: Thank you, Rob. As I mentioned at the onset of our call, our team remains focused and on track to achieving our 2025 objectives. Thank you for your interest in Choice Properties and for joining us this morning. We look forward to providing you with another update on the business this fall. Have a great weekend all.
Operator: This concludes today's conference call. You may now disconnect.